Véro Laury: Glad to welcome you today, in a moment I will talk to you about our strategy update. But before that I would like to hand over to Karen which will cover the financial results for last year.
Karen Witts: Thanks very much Véro, I know that you’re all really waiting to hear what Véro’s got to says, but if you just bear with me for a few minutes then I will take you through on the segment '14, '15 financial highlights, along with some developments in each of our major operations. And then I’ll move on to an update on the balance sheet and Kingfisher’s uses of cash. So if we start with the financial summary in the year to January 2015 group sales grew by 2.9%, £11 billion on a constant currency basis with group wide like-for-like sales up 0.5% year-on-year. Sales growth benefitted from the addition of new space, during the year we opened 74 new stores including 64 Screwfix counters in the UK and Germany. The results for the year reflect a mixed picture across our market, with an improving UK market offset by less favorable backdrop in continental Europe with France our biggest market proving to be more challenging since the summer. Adjusted profit before tax of £675 million was down 7.5% reflecting these trends and two other main drivers namely £34 million of adverse foreign exchange impact from translating foreign currency results into sterling and an additional £22 million investment in new country. Overall retail profit was down 1.6% on a constant currency basis, but if you wanted to look at it excluding the cost of entering new market then the underlying profit was up 1.5%. Our effective tax rate was 27%, 1% higher than last year reflecting higher losses in developing country for which no future tax benefit is currently recognized for accounting purposes. Adjusted earnings per share of 20.9 pence was 8.3% lower than last year reflecting lower profit and the adverse foreign exchange impact. Statutory post tax profit was down 19.3% reflecting both the impact of having £14 million of Hornbach results in last year’s numbers and also significantly lower exceptional credit year-on-year and I’ll explain the exceptional items on the next slide. The Group generated £450 million free cash-flow after investing £275 million in the business. The majority of this was return to shareholders through a combination of annual dividend, special dividend, share buyback. Our net cash position grew by almost a £100 million to £329 million helping to inform our view on cash return which I’ll explain later in the presentation. We created £34 million of Kingfisher economic profit which though measured charges earnings with an annual cost to capital businesses invested. This is lower than last year driven by a combination of adverse foreign exchange impact, higher effective tax rate and the startup nature of investment in new country. The board is proposing a final dividend of 6.85 pence bringing the full year dividend to 10 pence. A year-on-year increase of 1% which has covered 2.1 times by earning. Now if we move on to post-tax exceptional items, we’re reporting a credit of £71 million in the year versus a £131 million last year. Last year that related mainly to the successful settlement of the long running Kesa demerger case. This year the £71 million related to three key items. Firstly transaction and integration costs associated with Mr. Bricolage and the agreement to sell a concluding stake in the B&Q China business. Secondly, I’ve covered in detail in our interim results in September, we have a restructuring charge in B&Q UK and Ireland, reflecting simplification initiative to drive productivity benefits. And thirdly tax credits driven by the release of five year provisions which have either been agreed with the tax authority or time expired. Turning now to the results by geography; in France we added 2% new space, three new stores and three revamps. Also pleased to say that we made good progress with Click, Pay and Collect rolling the site to 34 of our stores and in 2015, '16 we’re planning another [route] by 80 so that we’ll be delivering this capability to customers in over half of our stores by the end of the year. Total sales in France were 4.1 billion down 1% and like-for-like sales declined by 2.3%. This was in an ongoing soft market impacted by weak consumer confidence and a declining housing and construction sector, however gross margins were held broadly flat, with ongoing sales help initiatives offsetting higher levels of activity and despite continued focus on our cost control including lower levels of variable pay retail profit declined by 6.5%, £349 million. In Castorama sales of £2.3 billion declined by 1.7% with like-for-like sales down 1.4% which was just slightly ahead of the Banque de France data showing sales for the DIY market down by 1.5%. The trade markets in France continued to be weak with no oblivious stimulation of new house build numbers of planning partners, which were down by 12% and 8% respectively. These trends impacted Brico Dépôt, which more specifically targets trade professions and very proficient retail customer those that we’re calling pro. Brico Dépôt's total sales 1.8 billion were broadly flat and like-for-like sales were diving for 3.2. At this point, I would like draw your attention to new section in the release, our technical guidance for full year 2015, '16 and hope you find it useful addition. The guidance includes an explanation of an accounting change which impacts the phasing French business levies over the year. So as we move now to the UK & Ireland, the UK & Ireland had a good year, with both B&Q and Screwfix delivering profit growth. Business is benefited from better weather, a stronger UK economy and more buoyant housing construction. Total sales of 4.6 billion were up 5.5 -- like-for-like sales were up 3.2%. Retail profits grew strongly up more than 16% driven by the highest sales and a continued focus on the cost efficiency. The gross margins were down 60 basis points largely reflecting the recognition in quarter 1 of more promotionally led showroom sales from the last quarter of the previous year in B&Q. B&Q and Ireland’s total sales were up 1.9% to 3.8 billion and like-for-like sales were up 1.4%, of the strongest full year positive like-for-like performance in five years.
8.39: B&Q is making good progress with the productivity initiatives that we shared with you previously, including store-friendly deliveries and outsourced return. They’re aimed at making B&Q a simple and more efficient business with the lower operating cost model and these initiatives will deliver discount payback in less than 18 months. B&Q also launched click, pay and collect on over 14,000 products s with the release of the updated the DIY.com. Transacted online sales including home delivery are marking encouraging early progress growing 63% year-on-year. And as we’ve previously said the B&Q team has been carrying out an in-depth property catchment analysis and today we’re announcing that we'll be closing about 60 stores over the next few years and would provide more details on the next chart. Last but certainly not least in the UK Screwfix had another excellent year with total sales up by over a quarter to £835 million in the smaller trades and markets which was up just 7%. Screwfix opened a further 16 new outlets taking the total to almost 400, in fact they will be shortly opening the 400 stores in Hinckley in Leicestershire. Like-for-like sales were up 13.4% driven by strong promotional program new ranges and further digital and mobile development. In the current financial year, we’re planning to open further 60 net new stores. And now onto our other international businesses. So firstly, let's look at our more established businesses Poland, Russia, Spain and Turkey which together grew sales to £1.8 billion and that was up nearly 7% and like-for-like sales grow up 2.5%. We opened nine net new stores mostly in Spain and Turkey adding 6% new space. Combined retail profit was slightly up in constant currency. In Poland, sales increased to £1.1 billion with like-for-like sales up 0.4%. Gross margins improved by 60 basis points as purchase optimization offset pricing activity and retail profit was up 1.7% to £118 million. In Russia, sales were up 19%, 408 million pounds and like-for-like sales grew by nearly 15%. At quarter there year-to-date like-for-like rough around 10% and then in the fourth quarter like-for-like sales increased rose to over 30% of customers rushing to spend ruble on durable goods. However, retail profit declined by nearly 15%, £10 million largely reflecting adverse foreign currency movements on the cost base. For example around 60% of those stores at least in Russia have rentals largely denominated in U.S. dollars or in euros. We do have hedging arrangements in place to help mitigate foreign exchange volatility, but nevertheless with more than 80% ruble depreciation over the years in practices more than offset margin gains. In Spain sales grew by 14% reflecting four new Brico Dépôt stores openings and in Turkey Koçtaş, a 50% joint venture grew sales by just over 13% £319 million with like-for-like sales up more than 4% reflecting new store opening, improvements in customer offer and more promotional activity. Retail profit contribution was broadly flat £9 million pre-opening costs were higher compared to last year. And still staying with our other international businesses but moving to new country development, let's look at Romania, Portugal and Germany and I’ll also cover B&Q China. It's been a very active year, we’ve invested £22 million across three new countries and we've agreed barely 70% controlling stake in our Chinese business. In Romania, we accelerated the conversion from Brico Store to Brico Dépôt, with 14 out of 15 stores now trading under the new banner. The business delivered sales of £91 million and a resale of the £12 million reflecting this year of transition. The top left hand picture that you can see is one of these stores near Bucharest which opened in October 2014. In Portugal, we opened two stores this year, reflecting the first specs and our plan to expand Brico Dépôt across Iberia. In Germany, we commenced a four store pilot of Screwfix in Frankfurt along with the launch of the country wide Web site delivery -- Web site with next day delivery. Sales and brand awareness are building nicely with an encouraging number of repeat customers, we are planning to open a further five new stores this year as we extend this trial within the Frankfurt area. In 2015, '16 we expect the total retail losses from these three new countries to be around half of those in 2014, '15 and again we’ve included this in our guidance page in Section 4 of the release. Finally, last year in B&Q China, sales declined by nearly 10% to £361 million impacted by slowing Chinese property market which was down 11% in the major cities where we operate. We announced in December that we intent to selling a 70% stake in B&Q China, Wumei Holdings for £140 million in cash. Going forward, subject to competition authority approval for the disposal, China will be accounted for as an investment. Adjusted measures for 2015, '16 and 2014, '15 comparatives would then exclude China's operating results to enable a fairer year-on-year comparison. Now let's take a look at what’s driving profitability. As highlighted, the negative impact of foreign exchange and the investments we’ve made in Germany, Portugal and Romania and the difference that better market conditions in the performance in UK and the rest of the Group, primarily France. In the UK, we’ve been able to drive volume share up 6.5% with better and more straight forward pricing and Screwfix has benefitted from the opening of 60 outlets in [technical difficulty] annualization impact of 60 openings the year before. In the margin other than the impact from B&Q showroom promotions last year, in the UK we managed to offset investment in pricing with better buying. Outside of the UK, the market was more negative, particularly in France with both the retail and pro-home improvement customers, help and form a better buying help to mitigate the impact of price and promotional activity. Our cost control is not just being about variable cost reduction, but was also deliver savings on cost structure more effective advertising, remain costs and distribution. At a Group level, even with investment in development, we held our total cost of sales ratio flat year-on-year and for like-for-like cost produced. After investing in the business growth, the Group generated £450 million of free cash flow. This is a £109 million lower than the previous year driven by trading results by lower net capital expenditure by assess movement on working capital which I am going to explain. The movements in working capital was primarily driven by a lower level of customer sure-in deposits of kitchen, bathroom and bedroom sales in B&Q. This reflects the B&Q's recent move to a simpler everyday great value message with the aim of providing great prices to customers all year around rather than having deeper promotion assuring a temporary sales period. As a result, unlike last year customer deposits were less concentrated into the UK’s traditional January sales period impacting the year-end position. Overall, realized showroom sales were down around 5% over the year but profit was slightly up. Just to complete the picture, the year-on-year movements in working capital investment in new countries was largely driven by the accelerated conversion in Romania. At the end of the year we were holding £2 billion of stock up year-on-year because of development activity trading and the phasing of purchases. And now onto what we did with our cash, this slide shows we returned £434 million that was the majority of our free cash flow to shareholders during the year in the form of the ordinary dividend, special dividend, and share buyback. The £198 million in proceeds from the disposal of the group’s shareholding in Hornbach at the start of the year drives the cash flow movement across the year. As highlighted on the chart our year-end position after foreign exchange another impact does exclude £57 million of cash held in B&Q China because that was reclassified as asset held for sale in the closing balance sheet, and that will exclude the associated disposal fee proceeds as this deal has not yet completed. If we now move on to capital discipline and firstly looking at the balance sheet. Our balance sheet position remains strong; we’re maintaining our solid investment grade credit rating whilst investing in the business, paying a healthy annual dividend to shareholders. Our lease adjusted net debt to EBITDAR ratio was 2.3 times at the year-end slightly lower than last year’s 2.4 times reflecting higher year-end net cash and a small pension surplus versus a deficit last year. We use our adjusted net debt to EBITDAR ratio to guide for profit that will be credit rating metric as internally we target a range of broadly 2 to 2.5 times. Beyond maintaining financial flexibility we continue to look to optimize our lease adjustment net debt position. Free cash flow last year benefited from £50 million of proceeds from the sale of non-operational assets reflecting the part disposal of the first right sized B&Q UK Elsevier store in Kent and a property in France. As you see on the chart two-thirds of our 2.5 billion lease debt is driven by B&Q, we continue to work on various measures to register although it does take some time given that most of our stores are on long-term institutional leases, some 240 land lords. We have been saying for some time now that B&Q has got too much space, we’ve now completed the review of all stores on a catchment basis and we know which of these catchments are over-spaced or have space in the wrong location. Let’s move on to explain the progress that we’re making in this area. As I said 65% of our total lease adjusted debt is in B&Q, on the right hand side of this chart you can see the splits of B&Q lease expiries by year, we have an average length of lease remaining of about eight years to nine years. Although nearly a quarter of our leases technically come up for review over the next five years that will naturally be a mixture of both that we want to retain and those that we would like to close. On the handful of recently expired leases that have been reviewed we’re encouraged by the results that we’ve obtained led by Graham Smith who recently joined as B&Q UK & Ireland property director. Its early days but we started to achieve renegotiated leases on materially lower rents and on an improved terms such as cutting lease lengths, cutting future rent review increases and moving to monthly versus quarterly payments. Today we’re announcing radical action to reduce our store footprints. We’ll be closing about 15% surplus B&Q space covering around 60 stores and 6 right sizes over the next two years. Closures are being prioritized by the move to over space catchment to retain customers and thereby maximize sales transfer. This will give rise to an exceptional item of around £350 million over the next two years. This will not however meet the material incremental cash outflow as it principally relates to new lease provision. We anticipate the underlying profit and loss impact of the closures to be almost neutral assuming on average that up to a third of sales transfer a reasonable confidence in this figure is because of the prioritization given to the most over-spaced catchment having recently rolled out improved omni-channel capability at B&Q and from having similar experience during the Castorama France revitalization program. As most of our stores are lease hold only a small number of the affected stores will be available for sale. Clearly by closing leased stores this will not remove the existing lease liability, so we continue to actively sublet the vacant space through a combination of outright sublet or right sizing of our larger stores. We’re already in discussion with several food and non-food retailers. The 6 right sizes are part of the previously announced program for supermarket group; they’ll take place this year having now received the long rated planning permission. Finally on capital discipline how we utilize our cash. Let’s first turn to our intentions for this financial year with reference to our capital structure framework. So firstly we continue to reinvest in the business. I’ve mentioned earlier gross capital expenditure for the last year was £275 million of this around 30% was invested in new stores and relocation, 30% on refreshing existing stores and 40% on IT, supply chain and omni-channel development as this was the first year of activity on developing a company-wide SAP IT platform. As you can see from the chart, the split will be similar in 2015 and ’16; however, we will be investing more in the region of £350 million to £400 million but still in line with our medium-term guidance. This increase will be driven by store developments in the UK, France and Poland including programs which Véro will talk about shortly and then the extension to our home deliver facility shared by Screwfix and B&Q. Secondly in terms of our annual ordinary dividends, the Board just proposed a final dividend of 6.85% resulting in a full year dividend 10 pence. This is up 1% versus last year and ahead of our EPS position. Going forward, we are comfortable with our dividend coverage being in the range of 2 to 2.5 times, which we believe is prudent, consistent with the capital needs of business and in line with the market. Thirdly in 2014 ’15, in additional to an annual dividend, we returned a further £200 million to shareholders by a special dividend and share buyback. As we enter the second year of our multiyear capital returns program, we’re today announcing that we intend to return another £200 million to shareholders in this financial year. This is also in addition to the normal annual dividend. Almost £30 million of shares have already been purchased with the balance likely to be returned to the share buyback over the remainder of the year. The decision to return the £200 million to shareholders next year was made before we knew the outcome of the Mr. Bricolage transaction. As you're aware, we’ve no intention to hold excess capital in our balance sheet and we will access dispositions as part of our regular capital review. We’ll update you on this in due course. So in summary, although the results for 2014 ’15 were impacted by continued slower markets in France, material foreign exchange movements and investments in new country market we saw good growth in the UK and continued with our self help initiatives on buying activity and costs. Our balance sheet remains strong with the resources to invest and we intend to return another £200 million of capital to shareholders this year. Finally in term of the shorter term outlook for our key markets, we remain encouraged by the improving economic backdrop in the UK, but we remain cautious on the outlook for France. I’ll now hand over to Véro to talk to our strategic update which I am personally very excited to be part of.
Véro Laury: Thank you very much, Karen. So, before diving into the strategy update that we’ll be sharing with you this morning, but before that I wanted to talk a little bit about my philosophy and as well about what I've been doing since I have appointed. For the those who were with us in September remember when I presented myself I talked about my 26 years of experience in home improvement and I would like to remind you that, but first I would like to ask you two questions, not being for one minute an analyst or a banker or whoever you are, but think about your home and the first question I would like to ask you is, is there everything in your home you like is not something that you don’t like, is not fit for purpose, it’s not maintained properly something you really be ashamed to show to somebody bear that in mind ask that question in your mind? And the second question I would like to ask you is, when you’re doing something with home in your home, whatever you’re doing is it yourself or you’re doing with the help of somebody or you’re having something doing it for you, how do you feel about it? Those two questions are very important and that’s why that better home better life is behind me on the screen is because I think that because when we do home improvement, we do something very important for you. This is a Kingfisher that’s what it can make Kingfisher a very big company. So that is our strategy, what we’ve been doing since I’ve appointed first I visited all the Kingfisher floors as we say, I visited all the countries I met all the leadership teams everywhere, I visited stores, our stores, the competition and most importantly I visited homes everywhere and my phone is full of picture of homes in Russia, in Romania, in Spain in Portugal in the UK in France. And again it has just confirmed what I knew already that is very much the same than it is different. And I will come back to that later on during the presentation. The second thing I have been doing since I’ve been appointed is we’ve initiated with the group exec strategic review and we set up five big questions and again I will go through those questions with you and through the answers as well, don’t worry, but we saw that at the beginning of launching a 10 year strategy for Kingfisher we needed really to come back to every single question right at the beginning. The other thing that I have been doing is setting up a new thinking and setting up a new organization, this brings the key people, the key good people that we have in that organization as well as recruiting new talent that’s coming in. And then of course I started to interact with some of you the external stakeholder to understand more about what they were understanding about Kingfisher and what they were expecting from it. So what will be the agenda today, what we’ll be covering today, so first those five questions I have just been talking about, then we will talk a lot about that ONE Kingfisher and I will explain you what do we mean by that ONE Kingfisher. We will talk about the organization changes that needs to happen in order to create to make that ONE Kingfisher becoming something real and then I will talk about the first sharp decision as I am calling them. So what are those three questions that we wanted to answer. There are five big questions; the first one is, are we right to focus on the home improvement market? Again ahead of the 10 years strategy of course we have home improvement in company, but if at one point we asked, we thought that it was not big enough we could have decided to do something there, why not. Second question, are we right to focus on Europe just, because as Karen said when we decided to move out of China naturally we are left in Europe, is it big enough again to generate 10 years of growth. Third question, can we achieve significant benefit from developing the more common unit and effective offer. Fourth question, is there a winning format of channel today in the world and fifth question, can we achieve significant benefit from unifying processes and activity. So the way we go after those questions, will really to be fact based. It is not about gossip, it's not about opinions, it's about having done the big piece of research both externally and internally to be sure that we have the hard facts in order to build our strategy on. The way we did it is we actively what we call knowledge backed, I think going forward very important thing and the way we working literally, we work on knowledge on things gathering knowledge. So we did analyze stuff on customer, one on offer, one on format and channel, one on infrastructure and processes and of course one on people. So to the first question, is home improvement a big enough market for the next 10 years? I am pleased to announce to you that the answer is, yes. Yes, home improvement is a huge market with a great potential. So what first before entering on the number which makes us comfortable in the fact that saying that home improvement is a big enough market for us, what is the definition of home improvement going forward? You won’t heard talking anymore about DIY or do it for me. What we call home improvement? Home improvement is everything, every product, every solution, every services which end in the home of somebody, which has closed all the offices and all that kind of things. But till it goes in the home of somebody, it's us, it's for us. When you look at that from a target of customer point of view, we split things in a slightly different way. We are talking for the people who are doing it for themselves. Whatever they know how to do it, what we will call it DIYer or they want to learn and this is a category where we will have a lot to do an Internet forums, the new technology is offering lots of different ways of interact with those people who want to learn how to improve their homes. And the third category of people in that category are doing it for themselves is people who need help whatever they knew there to stop, to choose, to be delivered, or to do it for them. And the second -- that’s what we recall that’s also a very nice name, but we will try to operate and find another one, the non-pro. And then we will be talking to what we call the pro which is people who are doing it for others. At the end of the day, they are contributing to that big home improvement market that is in front of us. But they are doing it for others. Which type of people we are putting in that category? What we call was we were calling the very serious DIYer. You know is the person in your family who know how to do things, and when you have a problem, you just calling it, he is not a professional, but he knows to do everything. And then, in addition of that in that category we will put light ray. Why those people are like that, because they are new, when both the product point of view sometime but more importantly from customer shopping experience point of view will be different. So that’s the way we will see the market going forward. So why home improvement is a great market with a huge potential? First, because home is key to people; home is key to people from both and remind the first question I have been asking to you from both an emotional point of view at the same time at the center of your life, that’s what you like, that’s where the people you like are living in and so that’s very important to everybody. Whatever, you own new property or you are renting it whatever if it’s a flat or a house doesn’t matter, home is something important to the heart of it. Second important thing about home, home is almost everything [indiscernible] it’s just financial [indiscernible] that’s what you have, that’s the biggest part of you have, so this is important. This important is translating into numbers, we have last year across the world 1 million, 64 million people who shop home improvement of Europe and we are 79% of European people who went and shopped in a home improvement store, 80% of the European population have been to home improvement. This is huge. So first reason home is key to people, second reason home is a top spending priority in every single country of Europe. In the most developed country like France, UK or Holland is 30% of the budget of the people who are spend into their home, it’s far behind leisure and food of course. The third reason home improvement is a resilient market, even with being in the heart of the crisis between 2009 and 2013 the home improvement market in Europe depending on the country between minus 1.1% for instance in Spain or Italy in the south of Europe to 3.5% in Germany, Austria and Switzerland. And all the rest of country have been in the range in between in that range. So if you compare that to other markets the home improvement market has been extremely resilient. But when things are going back, people because of the reason would be just looking about what is important to people, that’s not the first thing that they are catching on the contrary and we have a very good example with Russia right now, because people are just spending that is something which we like, and then but not least reason for believing in the home improvement sector there is a natural demand because of the average age of the property. In Europe the average age of property is very old, it’s 60 years old in the UK, is 44 years old in France and where is the youngest one if I can say which is in Russia in Europe, 37 years old, which means that because of the state of the household there is a lot of jobs to be done in those. One question, yes home improvement, this home improvement market is an addition of that supported that big universal megatrend which will create more growth for us in the future, the first one is the convergence of customer needs, I won’t be long of that just two examples that you will all recognize. Nowadays we are all sleeping in IKEA quilts, we are wearing ZARA clothes specially for woman probably, we are drinking Starbucks Coffee so we are living in the same way everywhere, we can say choose or we can say it’s disappointing whatever we think about it like that. This will come to the home improvement sector, if somebody is doing something about it, demographic, this is very important for us and home improvement company because the way people live is impacting the way their homes is. So what are the biggest changing in demography. Household, single household it has raised by 80% in the last 15 years so it’s a major, the fact that the young people are staying more in the home of their parent in the UK for instance we have 3 million of people between 20 and 34 years old which are staying in their parents home is 25% more than it was 10 years ago when that category of people hasn’t changed in terms of number for the last ten years. So changing demography is inviting us along. Urbanization, this is probably the key one, by 2050 60% of the world population will be living in cities in the world, today it’s 54 and in 2050 it was 30, look at that growth and it’s even more true in older European countries, today in the UK it’s 80% of the population is living in the city, in France it’s 72% so this is impacting a lot of the way people live, less space, more flats, people want more life, they need more packaging so they need to reconcile with the changing demographies that we just see, there is a lot of work to be done in the home of people. Internet of course, it seems to be kind of repeated and repeated again but in fact we haven’t finished with that today there is 3 billion of Internet users in five years will be about 4.8 billion of Internet users in the world, so it’s growing. The application of Internet of home technology and connected objects is just massive. It's a huge market potential for us but we need to adapt in it. Energy costs are rising, the energy costs have risen by 4% between 2008 and 2012, there is 11% of people in Europe who can’t pay their energy bill and when we did we conduct our last European research it was in every country the main problem for people to go after in their home. So again this is a massive market. It will be highly regulated but we can do something about it. Rising in regulatory requirements, of course European is trying to harmonize for Europe lots of those rules, including about energy product that is out the way we will do e-commerce for instance. So again there is opportunity for us we will be integrating those things. And the last one but not the least which is probably a little bit well known is about the sharing economy. I think that’s something which as impacting first all the very de-material businesses like movies, like music, and sort of things, but it has impacted recently more established businesses like hotel Airbnb that you all know. You all know the capitalization of Airbnb. Probably think that you don't know -- you know less about it like BlaBlaCar, which has been created in France. It's a car sharing company which is massive they have 1 million user a day it’s growing like mad. So I’m sure you read the last book of Jeremy Rifkin which is saying that sharing will become a more the norm than having something. This will impact the way people will react with their own and as a leader we need to look at those trends and embrace that in order to make our business better. So that’s about the first question. The second question is, are we right to focus on Europe first? Because you could argue with me the fact that to focus on the part of the world which is not growing that much is not very expanding. And as we've been out China, I don’t think that’s been surprising to any of you I’ve been told so many times, that what are you with China, we have been doing it, it left us with Europe. So we thought with the group exec, that it was right use of our time to really big dive and see is there enough to after for the next 10 years I don’t mean that it will be -- we will just be in Europe for the next 20 years, but for the next 10 years that Europe was big enough. And definitely the question is yes. In Europe there is 320 million homes, which as we think with the 80s need lot of home improvement. This is a market of £235 billion which is split of 140 billion for the non-pro I was talking about and 90 billion for the pro. So this is 60-40 differences. So this is definitely a big market. Why we think there is a room for Kingfisher to grow, because first it’s still a very-very fragmented market. In the top big five countries, the big five players whatever if you take Germany, [indiscernible], and all the big four, they are just representing nearly 40% of the total market, it’s the same in France and it is the same in the UK. So there is still a lot of multispecialty small doors which we can go after if we create for the customer something very different. And us as Kingfisher we've very little market share. Overall in Europe we've 5% market share, and in the country where we’re we've 9. So we've definitely room to grow. So that’s for Europe. Now the question we wanted to answer is there significant benefit from developing a more common, unique and effective offer. You won’t be surprised with the answer I’m sure yes, we can achieve significant benefit. The first thing I would like to say about that is we’re not doing it to be nice to you guys, sorry to say that, it’s not just about benefit we’re doing it because from a customer point of view it makes absolutely sense. This is the starting point of all that strategy. As I told you when you look at the home of people and I will come to that the needs are the same across the piece, and that’s why we will achieve significant benefit. It’s not just about the providing of course we will have better buying. But it’s about creating more sales because we will provide to the people better solution for their home improvement needs. So really that’s the first question, I just wanted to do a little quiz about those pictures. Can anybody put one picture in the U.K. one in France, and one in Poland. You will agree with me that more or less it's the same. So this is the reason why we will have significant benefit. The top project in every country where we are and in every country in Europe are maintenance, gardening and decoration and this is consistent across this. So from a customer point of view, it makes absolutely sense. From the benefit point of you, why we think that we will ask significant benefit, is because there is a big slice to have a more effective offer. I will talk to you about, a little about that effectiveness, I talked about? Today in Kingfisher, we have 393,000 SKUs across the piece, among those 393,000 SKUs, 200,000 SKUs are planogram. I hope everybody understands that, I think you are familiar with that term, familiar with the food retailer, which means that those products as a whole on a planogram on an IT system, to be implemented in the store, which means that the rest of it doesn’t. Just few example of the number of SKU on some category, we ask today more 4700 labors in the organization. We have 12,000 and 8,000 tools. We have 1,000 different types of gloves, we have 9,079 brushes and rollers. The bottom 60 SKUs is delivering 2% of the sale and the top 10% of SKUs is delivering 68. So that's what we go after when we're talking about having the more assets in line. Why I think we can do it? Because we already have strong assets within Kingfisher. First we have customer knowledge because delivering results, we don’t need to do too many mistakes. The point of doing it is not changing your likes of SKUs and just do that, it doesn't work like that. You need to start from the customer. But we know the customer because we have one million customers a day. And we have a big touch scale, we are buying today for 7.4 billion towns, buying of purchase, so we understand. We have a very good sourcing organization that not a lot of employment organizations have, which will help us and entrap a big scale. And of course we negative when we're developing product on our own rights, it works, because we're already selling 30% of our products to our own brands. First question. We take a lot of work in the very quite if you understand to see, is there a winning format today because there is a lot of questions everywhere in your head, I'm sure in our head as well, in all the head of all the big retailer is about what are or what are the format going forward. We did a piece of research with the group exec, and I'm sorry to test I would least expect. Yes there is volunteer and yes we will go after it. But there is no answer right now. So why there is no answer, lets share with you some example. You of course all seen the fabulous results from Home Depot few weeks ago, what do they have? Big boxes, when everybody is saying big boxes are best, you know one of the biggest home improvement retailer in the world with fabulous results have big boxes and they put on top of that, they put a truly digital capability. But from a store perspective, they're just not big boxes one item size, everybody is saying size doesn't matter you need to reduce the space everywhere that we can, okay. Look at the size of the Apple store that they are opening in some all the central locations, what is the size of that store to sell how many products? Look at the Primark store the store that they're opening, the size of those stores compared to what they have to sell it? The size doesn't matter, not really sure. Convenience, of course, there is a big trend about convenience and in food prices this has proven that this is a best concept in food and on food convenience is growing very much. We say no business without internet. Another contrary example, Primark, they are not selling on internet and you all know the results we all know the excitement of people when they open a store in the city. People are taking planes to visit their store and to buy. We all say big setup now is something we need to have, there is no way not to know where your customer are coming from, what they are doing, how they are sleeping, whatever, Zara. You can buy Zara, they didn’t know where you are living, they don’t care, so what I mean is that there is not one example to be followed. We need to find a way which would be the lifelong for the industry we are in which is the way people are doing the home improvement projects and we will. What does that mean is that the winning formula is in innovation, all those company I was talking about they are innovative and it’s about creating an exceptional and unique customer experience and that’s the key this is not about the format or the size of the internet or non internet. Having said that we’ve been looking a lot at the home improvement sector and there are thing which are already given for us, first [indiscernible] is growing very fast in our industry and even if it’s not by the big company you have lots of lots of very small websites which are starting to do very very good job and we are becoming [indiscernible] for us in terms of competition, the important thing about the digital in our industry as well is about research, because it’s quite complicated project, people are researching a lot of line so our omni capability will have to be not only about selling even if it will have to be about selling but about all the environment around that. Definitely as I told you we don’t think that big bucks are there that’s why we covered that in the first [indiscernible] we will be massively investing our big boxes that we have today and which are delivering that type of result that Karen has been proposed. But we will have well looked at what would convenient need for home improvement, because again we fell in to that trend of urbanization, I think we need to think how we interact in addition of our web capability with people in the cities and today home improvement have never been good at doing that, so we will do more thinking about it. Well that was for the fourth question, the fifth question is the benefit we can achieve by unifying activity and processes, where we are today why we think that there is significant benefit, because to be fair, because we’ve been organized as operating company set of collection of businesses we haven’t operated like that so we did very less, we are future processes we have leader share in [indiscernible] and we have no standardized store operating model. It is the picture you see that is one of the very rare examples where we are sharing between Screwfix and B&Q warehouse but it’s one of the very rare examples in the company, but again just because the way we were organized it was not natural to share those things, so why we think we will have some benefits about doing that. Because we are not doing a lot of it today, it’s really about effectiveness and it’s really about being more international and being able to take the biggest advantage of our people because if you are for instance one store operating model across the piece you can move to manager from a B&Q store to a Castorama Poland store or to a Castorama France store, because the way that we we’ll have to operate the store, the processes, that job description will be the same where today it’s all different. So having answered those questions I do believe I do have the confidence that we can create One Kingfisher, we want to become one company rather than a collection of businesses, why are we doing that, we are doing that to take full advantage of our scale our competence, our creativity, our shared resources and our road geography, this will be a journey, this is not a three year plan. Are we doing that? It’s not a strategy yet, it would be very big lack of humility to think we’d been able in three months time to reset the full strategy of a £10 billion business with 80,000 people. But what we’ve done already with the team is we’ve set up the clear set of guiding principles which will guide us going forward into working into that new strategy. I’ll let you one minute to discover the principle before I go through each of them. The first principle, customers need to come first, you can again argue with me and say what would be the company which won’t be saying customer come first, I think the way I’m talking about customer first it’s not about customer wants it’s about customer needs, it is a little bit different just to do a little bit of demonstration at that stage which will be kind of it will be interesting, look at those prospects [indiscernible] if I ask you, are you open that piece of [indiscernible]. You are in the room the most of the retailer are doing their market survey like that if we 10 people 10 customer you brought them in the room and you ask them question about how do you live what is fine in your bathroom what is not fine what do you like about [indiscernible] and they're answering. And they are true to them when they are answering but the reality is completely different from what they are telling you why, because if I take that and I ask you how you open it 99% of the population and it is proven will say I do that and do this. Okay so if I'm in a row and I'm looking to those people and ask to develop a product or a tradition for those people. I do speak on that basis the reality is 99% of the population is first doing that and then doing that it makes all the different. The way we will look at customer in the future at Kingfisher we will not ask people what they want we will look at the way they live in order to create the product that they need. I will give a quote of Henry Ford which was saying -- again, those who knows on the slide deck if I would ask people what they wanted they would have asked for a faster horse and invented car. And that’s about customer need, second creating a unique and leading offer. What does that mean? That means that we won't be selecting product from the shares of the supplier any more we will develop, design edit and work people who will still add product for present supplier of course when it's needed but we will develop design and edit unique solutions from improvement at lowest cost. Those solution will be designed it would be innovative it would be complete they will be stable as well we will have a much-much stable range so people can find their product over-and-over coordinated of course that everything is matching with everything, good quality that’s very important and sustainable. The sustainability will be fully embedded in the way we will be designing our product it won't be something on the side it won't be one positive asset it would be completely embedded in the way we do our business but more importantly we are creating our product. To do that we will need a simpler brand structure, we will need strong management rule rent management rule and we will need of course a fully integrated supply chain. So that is for the second one, then products across Europe presenting the same way what does that mean as we would develop the product in one place we will develop at the same time because we will have all that customer knowledge I was talking about. We will develop the solution and the product that we will be developed as the way to sell it to the customer whatever is on the Web or whatever is in the store and we will develop the full package of communication which will go with the product. So if we do things like that we will have the same product presented the same way across the geography that will mean as well that we will have the same customer experience through the different geographies we will have the same merchandizing principle that doesn’t mean that one size fits all let me give you a complete example. For instance if we say when I'm talking about customer experience and merchandizing principal if we decide we enter the store the Kingfisher store you would be entering by bathroom, and then you have kitchen and then you have storage because that is the big project and then you have decoration. It would be the same everywhere the size of the flooring for instance won't be the same in every country if the wood flooring is bigger in one country the foot space of the wood flooring would be bigger [indiscernible]. So we will adapt virtually the same merchandizing principle and the same customer experience and we will have the local adaptation when it is required. First principle limited number of format and omni-channel everywhere, what does that mean? That means the limited why limited number of format this is a question of focus. I think Europe was a question of focus we really need to focus on Kingfisher on few things and doing this very-very well with a high level of quality and demand in everything we do. How many we will have don’t ask me the question I don’t know yet we will see that will be for later but we will add a limited number of format and of course we have decided that we will have omni-channel everywhere. We can sell in every country in Europe even without adding stores in the contract and we will work hard on it with low cost this is quite being fair to Kingfisher we've been really good at lowering the cost, which is not the same. It’s really about establishing the new mindset about being a real local organization. Why? Why because again its start with the customer, if we want millions of people to be able to improve their home, we need to reduce the price of the product that we have. This will be the key in the future to grow the potential of our home improvement business, so if you want to lower the price you have to lower your price your buying price but more importantly you have lower your cost and this is not costing, it’s about reengineering the business completed differently. A bit of the unifying processes will be in that phase, some integrated supply chain will bring a lot of that as well. And the fifth principal which is not the just to be fair with you is the one company Kingfisher, we are today as Kingfisher 80,000 very committed people, you all know probably that we do a bigger observation in doing that for three year right now and we have currently teams of cross the operating company with the 80,000 people. We have highly engaged plan that really the base of everything what we’ll be doing in future but today they’re working as separately. And we won now than what as one with one culture. This will be a new mindset. So within that, that one Kingfisher I’ve been talking about for 10 minutes now will unlock the real potential of our company and of course it will drive more value more shareholder value, but more customer value as well and probably more colleague value as well. So how we will drive that better value because we will get higher sale, we will get higher sale through a better offer a more unique offer, better operation because of a lot of that plan is about reducing among the business the number of SKUs. And it’s the month of four that you put in every SKU, whatever it at the buying level whatever is in the supply chain organization and more importantly at that level, you’re reduced a concentrate the power of your people online and it will be about lowering the price as well. It will make our business much more simple, so I’d say maintain growth margin right at that stage ask me other question I will keep on that one because of course we will decrease the price of the product as we will get some benefit by adding that much more effective range. But we will have to do such investments at the same time and the assumption that we’ve been taking for now is that this will be offset. Lower cost, lower cost by higher volume per SKU critical, higher efficiency, less writes off because our arrangement will be much more stable and as you know today we are doing interview in any country where we will be doing in one go in the figure and of course a simpler operating margin and of course we will the statistical disciplined that apparent I’ve been asking going forward. So we’re confident that the beginning of strategy will drive, will improve our financial results going forward. And to do that we need to organize our standard very difficultly and that’s what we see. We are about the implement big changes that organization. The when we were organized and again there is nothing wrong with that we’ve done what everything we can do with an organization organized by operating company and I think we’ve produced massive during the last 10 years with that organization, we all fine, but if we want to move to that one king and talking about and bring Kingfisher to another step of this evaluation. We have done something about the organization, so we were organized on every topic by operating company. We will be organized going forward differently, so let me take every single string customer. Of course it will be unified and well as why because the knowledge of the customer by definition we start in the off breaking company and you can create that sort of company I was talking about. If you’re your people on the shop flow, we honored with you by understanding really what the customer is needing, so we will ask them to do research to go the EBITDA home, what will eh different is we will gathered all of that in the one play and we’ll use it as one, we will take insight from all that knowledge collecting in Russia, Poland and Romania and we will use it we will have a universal vision of the [indiscernible], offer again we will have one point where we’ll be creating that unique offer, we’ll be developing the product we will do all the quality, we will do all the design, the buying, we will do everything in one go, on the edges when it’s required and when it’s needed the local team will have first to take that offer which we did have won and to adapt it locally but then they will have to complement it at the edges. Let me set you a very concrete example, windows pane, there is no way we will have the same windows across the piece, when you go into the country the size of the window in the flat in Moscow are not the same that in the city. We won’t a common offer, the unique offer will, it will be done locally. But the biggest part as soon as we seen that the customer needs were the same it will be done as one. Format in China, it will be fully unified as I’ve been told you. We will have decided how many format do we want, you know the layout, the brands, merchandizing principle all of that will be done as one and we will focus and effectiveness in doing it. One of the very big advantage of doing that as well if you can expand much quicker with less cost and with a much quicker return on capital, because you can decide to just open one big bookstore in one country you don’t need to recreate an head office, don’t need to recreate anything, you have you floor is own, you just adapt to the local country and you put the local team in it and it’s done. Infrastructure and processes, there is no need to localize all of that, it would be fully unified and people of course, it will be both, we will have set of principles about One Kingfisher, culture, mindset, reward for HR processes will be the same across the piece but of course all the management needs to be done on the ground with the people by the operating company. So probably one of the question that you have in mind about that but at least some of the people inside the organization have that in mind and let’s be true to that, is there not a risk of losing the reality because you’re a very big company with 80,000 people and you can lose the contact with the reality and definitely the answer is no, not because customer knowledge will be always at the core of everything we do and it is a kind of barrier not to do silly thing, the offer will still be localized when it’s needed, we are not stupid, we will sell to people what they need and even if it’s local we will sell it and of course we will have a strong management on the ground because people in store we have a simpler operation, simpler business to operate and they will be able to be really excellent at what they do. It’s a big change, yes it’s a big change, are we afraid to do that change, no we are not, we are not because we did it before, we did it at the country level, when I joined in Castorama France in [indiscernible] there were 13 regions, everybody was explaining me that you can’t sell the same stuff in the northern province in the south of France, 10 years after discover we have one big central organization, one integrated supply chain and we been deliver more growth, more profit with less use, higher efficiency, so it’s completely doable, it’s much bigger this time of course, as soon as it makes sense from a customer point of view there is no issue about it, of course it will be for you guys a little bit of work and you can imagine that we are a strong team and we will be doing. So last thing I wanted to share with you but probably not least, we are getting on with that agenda we state, it’s not about talking, as you’ve seen it’s not a full set of strategy, we are still very working very hard to continue to be that journey going for us, you will have a lot more to come but we’ve already decided quite a lot of things, I think I need to do a little bit of explanation about the about the first sharp initiative. I’ve been told to be fairly honest by my English colleague that the word sharp was not very nice in English and I decided to keep it, what does that mean, that means fast and quick, it’s not show, you won’t hear me talking about short cuts because from now every single decision that we will be taking for that business will be towards that journey of becoming the leading home improvement company, so it’s not about short term action, it’s about the way we will be looking at things is we categorize what are doing in three buckets, the first bucket is prepare for the future, in a less elegant way I’m saying we clean the floor, just clean the floor, then second bucket, do more of the good that we have. We are already doing some good stuff in Kingfisher. Screwfix is performing extremely well. We have lots of things which are doing well with the opening of new concept store in [indiscernible] few months ago this store is growing by 35% so we know how to do a good big box. We know how to do omnichannel retail. So let’s do more of the good that we have in the group already. And then there is a third bucket which is to create the new that’s new story that I’ve been talking to you about on our last [indiscernible]. So we will look at the -- we’re waiting to do things like that. And we’ve been taking the first shop decision with that lane so customer what we’ve been deciding already on customer. We are already starting to develop the unified garden and bathroom business across Europe. We’ve put short teams from now that will expand very soon but they are starting all that’s just a minute that I was talking we started its ongoing and this is in the bucket of creating the future. We are already starting to clear that picture it was [indiscernible] of that [EBITDA] side. Offer we have developed a plan to judge the sale of existing products its key this is on the bucket of cleaning preparing for future. We have a lot do about that with the group exec each of the group exec member out with them to both for one of those facts. So we have already made all the analysis about where is the sale in which operating company how many still that are we talking about in which category we have all that data already and now we are putting a plan together it would be three year plan for that to resolve that problem this would be of course at the same time we will act to right and to establish a strong range management rules in order not to come back to that situation again and again for sure. Format and channels as you’ve seen in the release this morning we’ve taken quite strong decision about B&Q we’d be closing 15% of the space of B&Q I think again I don’t think that has been a surprise for any of you that something we’ve been talking about for quite a long time it’s not an easy decision to take of course and to be fair more on a more personal note just being reporting as a new CEO of Kingfisher taking that kind of tough decision. It’s not being easiest and this isn’t the easiest things to do but we have it to really now about trend in the UK and not believing in the home improvement market in the UK anymore I am a big believer that there is a huge market down here people wants to have a better home improvement offering in that country and we will invest massively into refurbishing the B&Q store as in the attachment as we are closing the store. So it will be really [indiscernible] we would be closing store and at the same time we will be really doing that with the [housing] stores [indiscernible]. So we as well close this few loss making store that we have in the rest of Europe it’s a handful but it’s a kind of LLC situation what is not working we just get on with things we give the time of things to work between it’s not working we have to get on with it. And we will start a big revitalization program I was talking of course in the UK but in Poland as well and we will be continuing it in France as we already stated. And we will extend the omnichannel trial in Germany we opened four store last year and we will open five more I am sure it would be very pleased to answer your questions on that subject. Infrastructure and processes what are those first shop decision we are piloting this unified IT platform and we are already for the [test] we’ll be starting on normally the 29th of June I don’t think [indiscernible] say that but and we are already looking to accelerate because this is critical to have that platform that IT platform across the businesses is in order to develop our full omni-channel ability across our business. And we’ve taken that decision to unify our GNFR buying it’s [120] billion I think something we can go quite easily after and Karen will be taking that project into our leadership. And on people finally as finalizing new leadership team and a wider organization structure that I will share with you just right now. So I hope with that set of top initiatives that you we have been questioned that things are starting already so last but not least again we will be the group exec new international leadership team with more focused cross company roles and deeper competence. What that new team is about? First, it’s about the mixture between existing peoples, people who know home improvement very well that’s critical if you want to be in that One Kingfisher I was talking about but we knew coming from outside with new competencies new point of view, this will be a complete fully international team and that’s something very important to me, if we want to be leading we need to be an international, a truly international company. And the fact that we will be bringing more and more international people within the Company at every level will be of the key of the case, it’s about competent and experience I will get that coming to Arja our Chief Offer & Supply Chain Officer. It’s about focus on people as you will notice we will have Chief People Officer within the Group Exec. I think that’s very critical for 80,000 business, people business, big focus on operation we will have three head of operations running for each of them in format, we want to focus on operation, it’s about excellence it’s about quality in everything we do, it’s about delivery and it’s about execution. We really need to be world-class in those area and we need our people who will drive that focus everywhere. So feel of the country, we will report into those Operation Directors for sure. Digital is a key and that’s why I wanted to appoint Chief Digital and IT Officer, which will be leading that agenda for us at the Group Exec and of course both that you all know right now, so that will be the thing. So you know of course Karen you know Steve, you know Guy and Alain. And Arja Taaveniku will join us. She will join us at the beginning of May it’s been announced with previous companies today as well. She has been spending 22 years at IKEA, running most of the big businesses in IKEA developing the offer and she will complete the team on the HR that hope to be able to it is close and to divert, I am not able to do it but we’ve met some very good strong run rate, so the team will be completely full completed very soon. So in summary, I hope that you will be with me, to you say that the open market has a great potential to be with me that we have now a clear set of principal which will help us to unlock the real potential of the Kingfisher that we are organized very differently this time and we’re getting with all of these respect and of course we will update you as our IDs and progress are developing. Thank you very much.
Steve Becker: Ladies and gentlemen, we would now like to take some questions. We do have two roving mics, please wait for microphone to reach you and please state your name and where you are from. For the sake of fairness, please limit yourself to one question only. We will come back to you for any supplementary questions should we have time, many thanks.
Q - Geoff Mullen: I got mic first, Geoff Mullen for Morgan Stanley, could I just get some more details on the 60 store closers and particularly the slip between the big stores and the smaller stores? I mean in the past I think that some of the deal has been the over spacing was the big stores were too big, but not necessarily had too many stores, could you just explain your thoughts on whether the excess space is?
Véro Laury: I will pass on to Karen in a few minutes, but I think I will give you the number of about the number of stores. I think the way we’ve done it’s a mobile catchment, so what we’ve been is we’ve been looking at catchment and we’ve been closing the stores which were no necessary and we were working with how the salesman who can really work together on this big sizing depend what you’re doing with. The reality is we’re too many big stores with each other if you can match it for instant, we have too many big stores but it’s not the size, the size storing it. If you come back to what we have in Castorama for we don’t have as many big stores that is big in France, so the size of the store is not the problem, the problem is lot of big stores in the same area. Karen?
Karen Witts: I think very good answer that is a mixture size of the store, it’s not true to say that very big stores are bad very well performing, big stores, it’s really is a case about doing a catchment analysis and working at where we shoot the -- so it’s a mixture, but as you would imagine these 60 stores actually tends to have lower on average sales and they are the one which we have.
Geoff Mullen: How many of the 60 would be the old B&Q warehouses rather than that?
Karen Witts: Yes, it’s a mixture of all three types that we’ve got.
Jamie Merriman: Hi, Jamie Merriman from Bernstein, just on the organizational restructuring can you just talk a little bit about how that will filter down to things like buying and supply chain. So for example for big box does this mean the way that the common product as you'll now have one team who will be thinking about big box stores across Europe or is it still you will have a team for B&Q versus Castorama?
Véro Laury: So we haven’t worked through all those details yet this is a very beginning of that story and of course I'm waiting for Arja to arrive in order to think with the team the full plans about how we would be doing that. What is sure is half of the offer we will be done we will be created in whatever it is just one place physically but by one thing. But we will always pass some local thing in order first to take that offer and product in the local countries and as well to compliment with this local product that we need to have.
Fraser Ramzan: Fraser Ramzan, Nomura, just coming back to your Slide 30 about your sort of financial principles higher sales, maintained gross margin rates. I'm getting the sense that this is very much the beginning of your 10 year vision. So while that is your financial aspiration it's not necessarily what we should be thinking about in terms of if not the current financial year the next financial year as you get into the detail of your plan now you're clearing out 50% the tail of your range. You can have some very big wobbles in your margin metrics you are not playing to us. We expect the gross margin to be flat going forward are you?
Véro Laury: So I think where we are is we don’t have all those number yet. You know the cleaning thing that you are talking about we already looked at it so we know already how many skews are we talking, how many stores we're talking. We are confident that we can observe that the way we are running the business right now. And because of the way we would be doing it going forward we won't create that so we would work in a completely different way.
Fraser Ramzan: And the capital side of that equation so I think you've said you are going to invest a lot of money in B&Q and in the big box formats across Europe. Is that covered in the 350 to 400 medium-term guidance or again are we at day one at the moment?
Véro Laury: We are at day one at the moment that we said that for this financial year 2015 ’16 we will up our capital expenditures about £100 million. So we will still be within that envelope of 350 to 400. We established that envelope I think at about three years ago and to be fair we've barely reached the bottom-end of it in every year that we've reported. So we actually have the capacity within that month to invest more in CapEx. But the shape of our CapEx it is necessarily going to spend to change very much we have typically spend 60% to 70% of our overall capital envelope on stores whether they are new stores or whether it's rebound. And just maybe go back to point about cutting the tail and the range one of the things that we need to think about is a lot about this realistic stock it's a big numbers of kind of ones and twos and SKUs the big numbers low value and a lot already is very highly providing the store.
Geoff Lowery: Geoff Lowery, Redburn and in terms of your work on productivity IT platform infrastructure et cetera this seems like very big stuffs in the context to the group your size moving towards common platform et cetera. Is the savings opportunity in the tens or hundreds of millions from this through time?
Véro Laury: May be you can cover that we won't confirm about the number of millions. But Steve can answer on how big it is.
Steve Becker: I think I mean at this point in time we're not going give total guidance on that but quite frankly if we didn’t think it was significant we wouldn’t be progressing it so I think we’d probably be in the upper-end of your spectrum not necessarily the bottom-end of the spectrum. In terms of the change yes the IT process change has been going on for roughly a year at the moment and we're heading towards the pilot on the 29th of June. And I would say actually as you would like that it's looking a bit tight but we would just stick to that I think we're progressing quite well on that. And the pilot will be an Island so the right stores in Island basically testing the whole thing end to end in a live environment.
Geoff Lowery: Just on Screwfix you are opening another 60 stores this year in the UK. What's your long run pipe that targets Screwfix is that 500, 600, 700?
Steve Becker: The answer is we need to come back so what's happening at the moment is I think what we last declared was late 400s. What we're finding is we've been adding into small attachments and as we're adding into smaller attachments we are getting higher market shares. So what we're doing at the moment quite frankly is we're redoing all our models and we are probably looking to put some guidance probably back in September in terms of where we are. But at the moment my belief is it's higher than late 400.
Andy Hughes: Andy Hughes from UBS, just with the 60 store closers at B&Q, so you had the opportunity to recreate Brico Depot in the UK. And you decided not to do that. Why is that?
Véro Laury: It reminds me probably a conversation that we had already. Again before doing something that is in the entering a new format in the UK. Again these kind of [indiscernible] management in focus that I was talking about. We thought that we need first to address B&Q at make it work. And to have the new format right now wouldn’t be the best idea for business. So think again on the formatting that been really give with you. Things are very open, you really don’t know what we will be doing with the format that we have. But we thought that’s when we report really or now to address B&Q and to make that big revitalization program for the non-pro customer and putting the bet of what we have in the group within the UK but if require that [indiscernible]..
Andy Hughes : And this is a follow-up kitchen. As you noted that garden and bathroom plan but why not kitchen is that just to local the business or other issues you are going to address in the UK.
Véro Laury: I have done two already, you are asking already for three. I think we definitely kitchen will be the business that we can fully unify, to be fair even easier than that. But because of complexity of that business, we didn't think that one of the easiest one pick up right in the beginning. We haven’t developed our plan yet, it’s about what are the category and how far we’ll go to drive that unified. We will come back to you that part of the what we should be doing in the next week will be arrival of Arja as well. But kitchen will be definitely a unifying this.
Chris Chaviaras : Chris Chaviaras from Barclays, and my question is on the price investments that you have talked about during your presentation, but you haven’t quantified. Should we assume that back in October when we had that B&Q Investor Day, the price investment was 1% to 2% over [indiscernible]. And clearly now B&Q management is different, should we expect that different level of price investment? And also what sort of volume growth you are seeing with the price investments that you have already done?
Véro Laury: I will answer on the first part of your question. I think it will be different what you are talking about that price investment it was really limited to one operating company and it was really about buying better and better buying to the customer. What I am talking about is that 10 years journey I'm talking about price investment, is that because you develop your own offer completely different way, with raw material, with industrial processes, it's not about reducing the price by 1% that’s not what I’m thinking about. So I wouldn’t be associated we've been doing whatever it’s in B&Q or in Castorama France as where they have been doing some pricing settlement, with what we want to do.
Chris Chaviaras : Yes, but you also mentioned the release that you have done price investments you have seen some volume growth, and I guess this will be something that will be happening over the next couple of years unless I’m wrong.
Véro Laury: We will continue to on that but what I’m talking is in that strategy something which is much bigger than what we've been doing it on the scale which was manageable from business point of view. Karen you want to say few words about the volume growth in B&Q.
Karen Witts : I think the things that we did say was we wanted to grow volume share in B&Q and then that would be translated ultimately into foundry share and not really what was been happening over the course of this year we updated you in terms of volume share growth H1 and that continues for B&Q, and this was pre-fixed into two years. So volume share in the UK in the last year grew by 6.5% and our foundry share grew by 5.5%. We will continue to work on guessing the right level of pricing for a customers by looking at our elasticity model. But we're not going to stop pricing investment. What’s been done has been [indiscernible] and has achieved what it means that is just I like it the fact that whether you are talking to millions of people you are mass market retailer, when you reduce the price to get the volume upside. The question is how much in order to make the profit.
Simon Bowler: Hi, it’s Simon Bowler from Exane. You’ve very kindly given an absolutely number for your common buying for GNFR and I get a sense that today we’re not to get anything in terms of cost of goods, common buying, either percentage or absolute number, but is that something we should expect going forward. For a few years there’s been the talk about moving towards 50% common buying, is that still a target or and should we expect that they…?
Véro Laury: You’re talking about GNFR or non?
Andy Hughes: It’s non-pro for [indiscernible].
Véro Laury: For GNFR so yes…
Karen Witts: What we said for GNFR is the number that we gave was as the opportunity and that’s the amount that we spend on goods not for resale 1.2 billion and we said if we actually buy these goods in a more unified way then we expect to achieve some benefit from leveraging a scale in a way that we only do partially, if you’re talking about goods for resale then certainly the strategy again is about unification and creating unique product, so again we’ve got £7 billion more than £7 billion of goods for resale and by unifying them we will then achieve that as well.
Andy Hughes: I’m sorry, is there anything in terms of percentages or absolute.
Véro Laury: No we are giving out main guidance on that, no.
Andy Hughes: Is that what we might expect going forward is that piece of ongoing work or?
Véro Laury: I think you know, if we update you if you rated, the KPIs that we’re working towards the material that’s in the review phase.
Tony Shiret: Well spectacular, Tony Shiret from Espirito Santo, is this skew count reduction going to apply to Castorama as well, because I think most of its been the Dunkirk store, I’m seeing 55,000 skews and we’re expecting NT to have more than that, is this kind of sort of showed different way of trading the large Castorama stores and there’s a sort of related point, you haven’t actually said how you’re going to revitalize the big box stores, give us some sort of ideas about if I were in a big box store in the UK in two years time how I would realize it had been revitalized.
Véro Laury: So, your first question, two things, first where we are taking the skew reduction, we are talking about the skew reduction at the level of the probe and as I told you it was 400,000 mostly they are there we shopped with the IT in the IT system in the supply chain but they’re not creating real sales actually. So it doesn’t mean that for the customer we will by definition diminish the number of skew which the customer will be able to afford to the store of the Web, we haven’t done that work yet. What is the answer, to be fair I don’t know but what I know is that today in Castorama you are talking that example you are 55,000 in the Dunkirk store, Castorama overall you are more than 80,000 so they are a big help to each other as well, but in Poland you have another 80,000 skews and in NT you have another skews, and what I know that 180 plus 180 plus 180 probably we will end with 80, but it will be 180 and not three times that, that’s part of the answer on the number of skews that we will put in front of the customer, to be fair we will completely what is clear to us is we won’t miss customer need which means that we won’t stop to sell products because it’s a soft seller if it’s absolutely needed to complete the project, because when you do that you kill your business, but of course we still have some very slow seller skews but if they’re needed from a customer’s point of view to complete a project. But where we can really edit this and that’s my glove example that I was talking we have even niche of any company dozens of different gloves which are not covering different needs, we can really maximize on that. So is that?
Tony Shiret: Sorry, will there be a change in Castorama then, what I’m really asking though it will be look fundamentally different?
Véro Laury: Yes it will as the new offer will develop for instance the bathroom and the garden, it will change as much in Castorama as it will change in the other operating companies.
Tony Shiret: And revitalizing the big boxes, how you’re going to do that?
Véro Laury: We would be doing it now on the base of what we have, what is the best format that we have in the group which is a new store that would be opening in Edna and we will work on that base for both UK, continue to evolve that in France and in Poland and Russia as well.
Tony Shiret: Sorry the new store where?
Véro Laury: Edna, the new store that would be opening, three months ago, four months ago, it really is close from the [indiscernible] south of France [indiscernible] will be the next version.
Tony Shiret: So if things are going to become Castorama, France that sort of thing.
Véro Laury: What?
Tony Shiret: Everything’s going to become Castorama France.
Véro Laury: It won’t become France because it will be in the UK or in Poland by definition we haven’t decided what we will be doing with the brand to be fair we will need definitely a simpler brand structure, the important thing is we will propose to the UK customer a much unique and better proposition that they are guiding for.
Tony Shiret: Will B&Q still exist in two years' time?
Véro Laury: I don’t know.
Clair Huff: It’s Clair Huff from RBC. A quick question on Screwfix please, so you have been performing very well and you still got strong ambition to roll out another 60 stores this year. I mean are you seeing any cannibalization on sales from B&Q in the areas that you’re opening a Screwfix? And I wondered what the product overlap and SKU overlap is between the two formats please?
Steve Becker: The cannibalization sorry this is an old one that we’ve been talking about probably for about five or seven year to be fair. And we keep doing exercises looking at cannibalization between the two formats and quite frankly we can never find anything within points of statistical analysis if there is anything that’s like sub percentage points. The primary quite frankly is the different customer sets generally Screwfix customers are either trade or they’re serious hobbyists is probably a bad word and DIY customer are more non-pro as was Véro was saying so we don’t see a lot of cannibalization. And quite frankly now Screwfix has past B&Q and most of the attachments that we’re opening up into basically haven’t got B&Qs in them. So almost the point at which you would be cannibalizing has gone. So I think we’re still past I don’t think that there is a lot of cannibalization. The is an overlap to TradePoint but again you find the overlap to TradePoint each TradePoint is usually locked into sort of general builders type work where Screwfix is much more focused on plumbers/electricians so again there is a bit of overlap and we do see that jump in both formats but by different things.
Assad Malic: Assad Malic here from Citi just coming back to the store closures if I could get bit more clarity in terms of how you actually going to pick rest of that. Are you looking to sublet all of them are there any that are coming up from that really is expiring or will you just shut the stores and write off the lease liability in terms of the check to the landlord please?
Véro Laury: You take this very much on a store by store basis and of course just coming out with the stores doesn’t take away our long-term lease liability so definitely we want to be looking to either sublet the whole space or indeed to right size the inside and sublet some of the space. You saw from the chart that I present that we’ve got about 20% of our leases that come up for renegotiation where the lease times over the next five years and we will make decisions about whether or not to stay in them whether or not to come out in every year there is a certain number of stores where the leases are expiring and we make the decision on a store by store basis to carry on or come out.
Assad Malic: Just look if you look back to the subletting before it’s taken quite a while to just come out sort of 2% of the space so what will give you the confidence now in terms of been into sublet the vast majority of that 60 stores is there a pipeline that you’ve built up now?
Véro Laury: So I think what we’ve learned is that there isn’t any easy answers to subletting yes you’re right it’s taken us a long time to get the eight sublets that we’ve been speaking about for a couple of years I would say that so we were talking then about food retailers and the food retailers the big food retailers were in a different space so the space that they were in two or three years ago the way we’re doing this we are giving ourselves the time to be patience when it comes to subletting or rightsizing we are taking a prudent approach to the exceptional item we said £350 million of exceptional item over two years the vast part of that relates to onerous lease positions.
Warwick Okines: Warwick Okines from Deutsche Bank I was wondering if I could just continue on the same line and just try to understand a bit more about this B&Q store reformatting and firstly on the revitalizations how many you’re actually planning to do this year? And then on the 60 stores could you give some sense of, of how many of those stores are on lease expires in the next five years as per your chart from Page 14?
Véro Laury: So in terms of the 60 stores and we’re going to do this over two years of 30 and 30 and the majority to these would not be stores where the leases come up for expiry within the next five years.
Warwick Okines: And on the revitalizations, how many do you plan to do this year?
Véro Laury: The 10% number.
Warwick Okines: Okay, and just back on the 60, could you say that the split between stores that have bulky goods only consents and more variable consent to get a sense of where that space [Multiple Speakers] yes, to what extent does those 60 stores that you are planning to close bulky goods consent only?
Steve Becker: I don’t think we have to stick with this at the moment.
Caroline Gulliver: Hi. Caroline Gulliver from Jefferies, just come back to your pricing strategy again and I appreciate early days still waiting for all of us join. But from a Group perspective and perhaps a holistic perspective, in your experience, do you think EDLP with perhaps weekend door busters is the best of strategy than more promotional high-low pricing or just generally what do you think is most successful;?
Véro Laury: And you make me laugh because it's one of the same that we often ask and I think in general in principle let me answer in principle, because of the way home improvement work for people, we are not sending for you buy [indiscernible] you do battle project every seven years. So, I think in principle EDLP works better for people because they want to buy the product at the right time when they need it. So I think that for the principles so that more we can close to that and we can be everyday good value with high quality product the better it is. And of course at one point we can kind of animate trading lights on in that kind of activities just in principle I think that would be the directive, to be said there are some of our businesses which are already like that if you take Russia for instance they are already [indiscernible] strategy I think B&Q on the latest this year have moved again a little bit more closer to that. So again that would be part of that ONE Kingfisher strategy to align the operating company because today we are very different fighting sides to be [indiscernible].
Rob Joyce: Rob Joyce, Goldman Sachs. Juts a quick on the 350 million again how do we think about that in cash terms or I am thinking that the maximum you could payout across the duration these leases if you don’t sublet and the cash would actually come out…?
Véro Laury: Most of this is what I would call not new cash. So it's not incremental, we will be paying IDs rental floors in any case assuming that we didn’t sublet. But clearly, as I said the 350 million primarily relates to the lease provision and the quicker we can sublet or right size the better and that certainly will make a difference the overall utilization of that provision that we have in effect there isn’t an easy thing to do to do the sublet and rightsizing even though we’ve got -- actually got some ongoing at the moment that we can’t speak about, but we’re not assuming that is so [indiscernible] to take it away. But this is not about new incremental cash largely. There's a little alignment in that obviously payments as the vast majority is the lease provision.
Rob Joyce: So no upfront big cash hit then we should be thinking of?
Véro Laury: No.
Karen Witts: We have just five minutes more I just make the precision about the revitalization program because I think I didn't answer right to your question. Your question was how many we will be doing this year. No? I think, and I will give -- I will let [indiscernible] to explain what we are doing, we will be testing one for the UK in Russia and in Poland by March 2016 in order to then develop it [indiscernible].
Steve Becker: Yes. Just to add, I think the first thing first these are -- to have to increase the value of proposition. So, the work we have to do across the piece and the floor countries to extend our concept from the [indiscernible] will be the work we are doing this year, so 2015 will be the year of levering or working on how the range and all the merchandising proposition across the full operating companies which have the objectives to be able to open to in each country in 2016 probably March-April the first of to be the first guidance for all the companies to roll out the concept. But as usual, and I think Véro spoke before, it was to achieve in Casto 12 years ago, the first orders to be work on the detail to be sure that we reach as soon as possible increasing increase point which is the good one to us. So we need a year prepare the sales for that.
Véro Laury: And introduce you repay on [indiscernible]?
Karen Witts: Yes, it will be one in Russia, one in France, one in UK and one in Poland.
Véro Laury: So, thank you very much. Thank you for your attention. Have a good day and see you soon.